Operator: Good day, ladies and gentlemen. And welcome to the Urban Outfitters, Inc. Second Quarter Fiscal 2016 Earnings Call. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce Oona McCullough, Director of Investor Relations. Ms. McCullough, you may begin.
Oona McCullough: Good afternoon. And welcome to the URBN second quarter fiscal 2016 conference call. Earlier this afternoon, the company issued a press release outlining the financial and operating results for the three and six-month period ending July 31, 2015. The following discussions may include forward-looking statements. Please note that actual results may differ materially from those statements. Additional information concerning factors that could cause actual results to differ materially from projected results is contained in the company’s filings with the Securities and Exchange Commission. We will begin today’s call with Frank Conforti, our Chief Financial Officer, who will provide financial highlights for the second quarter. Dave Hayne, Chief Operating Officer, Free People Brand will provide a brief update on the Free People Brand. Richard Hayne, our Chief Executive Officer, will then comment on our broader strategic initiatives. Following that, we will be pleased to address your questions. As usual, the text of today’s conference call will be posted to our corporate website at www.urbanoutfittersinc.com. I’ll now turn the call over to Frank.
Frank Conforti: Thank you, Oona, and Good afternoon, everyone. I will start my prepared commentary discussing our recently completed fiscal year 2016 second quarter results versus the prior comparable quarter. Then I will share our thoughts concerning our current quarter. Total company sales for the quarter increased by 7% to a second quarter record of $867 million. This sales increase was driven by a 4% retail segment comp, a $15 million increase in non-comparable sales, including the opening of four net new stores and 21% growth in wholesale sales. Please note that currency translation negatively impacted our sales growth rate, by approximately 165 basis points for the quarter. Within our retail segment comp, the direct-to-consumer channel continued to outperform stores posting positive gains driven by increases in sessions, average order value and session conversion. Negative comp store sales, resulted from decreased transactions and units per transaction, partially offset by higher average unit selling prices. By brand, our retail segment comp rate increased by 14%, 4% and 2% at Free People, Urban Outfitters and the Anthropologie Group, respectively. This marks the third quarter in a row all brands have posted positive retail segment comp sales growth, the 13th quarter Free People has posted double-digit comp gains and the 12th quarter in a row Anthropologie has posted positive comp sales gains. Our URBN Retail segment comp was strongest in May followed by June and July, which came in fairly consistent with each other. Free People Wholesale delivered another strong quarter as sales grew 21% to $72 million. These results came from double-digit sales growth at department stores, partially driven by the success of our category expansion, namely Intimately Free and Free People Shoes. Now moving back to total URBN results, gross profit for the quarter was up 5% versus the prior comparable quarter to $318 million. Gross profit rate declined by 71 basis points to 36.7%. The decline in gross profit rate was primarily due to higher delivery and fulfillment center expenses. The deleverage in delivery and fulfillment center expenses was partially due to the increase in direct-to-consumer channel penetration to total sales, as well as the incremental costs associated with the transition of the South Carolina fulfillment center to Gap, Pennsylvania. We are proud to share that our transition has gone extremely well. All three brands’ direct-to-consumer businesses have been completely moved to our new facility which is now up and running. The expenses related to the transition have come in better than expected and we believe only negatively affected the second quarter gross profit margin by approximately 40 basis points, much less than we originally planned. We are still forecasting approximately 25 basis points of incremental expense in the third quarter related to the transition, but the overall expense and deleverage for the year is trending lower than what we had originally planned. A big congratulations and thank you is in order to our Shared Service teams for their hard work and extraordinary execution. Total SG&A expenses for the quarter increased by 8% to $214 million. Total SG&A as a percentage of sales deleveraged by 29 basis points to 24.7%. This minor SG&A deleverage was partially due to increased marketing expenses, which were used to drive higher direct-to-consumer traffic. Operating income for the quarter decreased by 1% to $104 million, with operating profit margin deleveraging by 100 basis points to 12%. Net income for the quarter was $67 million or $0.52 per diluted share. Turning to the balance sheet, inventory increased by 6% to $384 million. The growth in inventory was primarily related to new and non-comp stores, as well as the Wholesale segment, comparable Retail segment inventory decreased by 2% at cost, while decreasing 7% in units. The decrease in Retail segment comp inventory is due to improved inventory planning and control as the business continues to work towards managing to a lower weeks of supply. We ended the quarter with $339 million in cash and marketable securities. During the second quarter, the company repurchased and retired 6.6 million common shares for approximately $236 million. We now have 15.2 million shares remaining on the most recent Board of Directors’ authorization to repurchase shares. On July 1st, we entered into a five-year $400 million Asset Backed Revolving Credit Facility. This Facility gives us additional flexibility to use more cash strategically when appropriate. We utilized $115 million of this line during the second quarter to fund some of the share repurchases previously discussed. As we look forward to the remainder of fiscal year 2016, it maybe helpful for you to consider the following. We are planning to open approximately 32 new stores during the year. By brand, we are planning approximately four new Urban Outfitters stores in North America, 13 new Anthropologie stores globally, including one new European store, and 15 new Free People stores in North America. Our gross margin rate for the third quarter could increase versus the prior year. This growth could be driven by meaningful improvement in the Urban Outfitters brand’s maintained margin if their product performance and inventory management continues to progress favorably. The overall URBN rate improvement could occur while the Anthropologie and Free People brands maintained margins normalize down from their near-record setting performances from a year ago to rates more similar to where they landed for the second quarter this year. With that said, please take note that thus far in August, for all brands, our direct-to-consumer business has posted strong gains consistent with the second quarter, while our store sales have started out slower than what we planned and where we finished the second quarter. There are many factors that could be impacting our store performance and there is too little data at this time to draw any solid conclusions. Based on our current plan, we believe SG&A could grow at a high single-digit rate for the year with the third quarter growth rate looking fairly similar to what we recorded for the second quarter. This increase would be driven by DTC investments relating to marketing and technology and selling support investments to support our new store growth. As I noted earlier, the effects of foreign currency translation resulted in an approximately 165 basis point reduction to sales and approximately 30 basis point reduction in operating profit. If today’s rates held constant and all else in the business held constant, such as shares outstanding and planned profit rates, we believe foreign currency translation could negatively affect our earnings per share by approximately 3% for the full year fiscal 2016. This would be based on our current businesses in the Canadian and European Markets. Capital expenditures for fiscal year 2016 remain planned at approximately $140 million to 150 million driven primarily by new stores and the completion of our new east coast fulfillment center. Finally, our fiscal year 2016 annual effective tax rate is planned to be approximately 36%. As a reminder, the foregoing does not constitute a forecast, but is simply a reflection of our current views. The company disclaims any obligation to update forward-looking statements. Now it is my pleasure to pass the call over to our Free People Brand Chief Operating Officer, Dave Hayne.
Dave Hayne: Thank you Frank, and good afternoon everyone. It’s a pleasure to be speaking with you today. I’m excited to provide an update on the positive momentum at Free People in the second quarter. Last year on this call, we started off by discussing a record-setting quarter and I’m very pleased to do the same today. The Free People brand achieved a consolidated second quarter revenue record with a 20% top line increase over last year. These results were driven by a strong retail segment comp of 14% and continued robust growth of 21% from the wholesale segment. This performance is even more exciting when viewed on a two-year basis, where second quarter revenue has grown by nearly 60% since fiscal 2014, certainly an achievement of which all of our teams can be proud. Strong product is the lifeblood of our business and our design and merchant teams have consistently delivered compelling assortments that have repeatedly brought our customers back to the brand. And this spring was no different, with many product wins to speak of. The customer continues to vote for our dress collection, with our strategy of expanding into party dresses providing a very healthy boost to the business. Our intimates collection has outperformed expectations in all channels and our own-label shoe assortment saw significant gains in the quarter. Our activewear line, FP Movement, continues to impress us in the direct-to-consumer channel, making us even more excited to launch Movement to the wholesale market this fall for spring delivery. Our teams look forward to developing these concepts further, as well as exploring new category expansions in the future. Moving to the wholesale channel, the team closed July with their single strongest sales month ever and enter the back half with future bookings on pace with the current trend. Our department store partners had success across both their bricks and digital storefronts, with particular strength coming from our expansion categories. In fact, our expansion categories drove over a third of our total wholesale growth in the quarter, with success across both our department store and specialty store partners. Our four-pronged domestic strategy has been working for us, one, invest in shop-in-shops in key department store doors, two, offer replenishment programs to key accounts, three, open expansion classes to existing accounts, and four, onboard new accounts to both our core collection and expansion categories. This has provided a successful framework for developing our legacy domestic business and we see room to continue this momentum. Moving overseas, our wholesale team now supports over 300 global accounts with over 500 doors in 35 countries. Our relationship with I.T. in Hong Kong continues to grow, with three new shops opened this spring and a new department store relationship in Mexico offers new potential for the brand closer to home. We’ve seen particular strength in Europe, where our London team has doubled their business by improving operational execution and developing domestic relationships such as our partnership with ASOS and our two new Paris shop-in-shops in Galeries Lafayette. Additionally, our existing London presence in Selfridges recently expanded to a 400 square foot shop-in-shop. And this location is already the most productive we have globally. The team has also partnered with new distributors in Spain, Italy and Germany which helped to open 40 new specialty accounts in those countries in the quarter. Alongside these wholesale developments, our retail team recently celebrated the opening of our first self-operated shop in London, a pop-up boutique on King’s Road which will remain open into next year. Although only a small space, many of the operational complexities of opening stores in a new market have now been overcome by the team, and we’re excited that the stage is now set for permanent stores in the U.K. and Europe in the years ahead. More definitively, we expect to open at least one permanent store in London in the first half of next year. On the domestic front, our retail team drove record second quarter sales and successfully opened three new stores in the quarter, following four new stores in Q1, bringing the current count to 108 total stores in North America. Additionally, later this fiscal year, we plan to open nine new or relocated stores which average approximately 3,700 selling square feet per store, the largest of which, a relocation in Denver’s Cherry Creek Mall, will total 5,300 selling square feet, over three times larger than our current store in the center, with plenty of room to support our successful category expansions such as intimates, shoes and movement, in addition to our core collection and accessory assortments. Not to be overlooked, we also completed a significant expansion of our Rockefeller Center store, more than doubling our selling space to nearly 6,500 selling square feet. This prominent store is now able to carry the widest assortment in our fleet, including shoes, party dresses, movement and even a small home capsule. We couldn’t be more pleased with the new store presentation and initial reaction to the broader product assortment has been very encouraging. Our larger format store initiative is now well underway, and we’re eager to learn from and develop this critical area of the brand’s future growth. Moving online. Our direct-to-consumer business experienced very healthy growth in the quarter, with our customer base increasing 37% alongside a nice bump in conversion rate. Our domestic growth outperformed the total growth, as we experienced a noticeable slowdown in our international DTC growth rate, which we believe is primarily due to currency fluctuations against the U.S. dollar. Despite these challenges, our localized U.K. and China online businesses generally outperformed other global markets, with China in particular showing nice acceleration against last year’s growth rates. We believe this is just more proof to the importance of website localization. As has already been mentioned, the wider URBN team successfully migrated our fulfillment operations to our new Pennsylvania facility. It’s hard to overstate just how impressive this new building is in person, and it’s also hard not to be impressed with just how flawlessly the transition went for all of our brands. On behalf of all of our brands, I’d like to congratulate all of the shared service teams supporting the design, build and transition on a job very well done. Meanwhile, the mobile migration we’ve been witnessing in the DTC channel has continued, with mobile devices now accounting for over 55% of our visitors and nearly 30% of our sales. To better support our e-commerce future and better position ourselves for the new mobile era, the Free People team and our shared service partners have been hard at work, building the future web platform for all of our brands. When our new platform launches in the back half of this year, we expect a faster shopping experience, improved functionality, broadened FP Me capabilities, more seamless mobile presentations and generally a more robust foundation from which to build the shopping and experiential platforms, which will be at the core of our brands and businesses for years to come. I cannot talk about the core of who we are without also saying a word about the creative process. The Free People brand has been a success with customers because we endeavor to infuse creativity into everything we do, be it product design and imagery, catalog shoots, editorial content, store environments, marketing videos or local brand events. Whatever it be, the creative teams that touch these areas are truly the essence of who we are as a brand, and it’s this sentiment that we aspire to leave fresh in our customer’s mind, with the hope that she recalls us favorably in the future. Thank you very much for your time. I will now turn the call over to our CEO, Dick Hayne.
Richard Hayne: Thank you, Dave. Good afternoon everyone. Amazing is the word that comes to mind when I hear the Free People story: thirteen consecutive quarters of double-digit comp sales growth. It’s a remarkable story and a tribute to the extraordinary performance of the Free People team. Congratulations to Meg, Dave, Sheila, Krissy and their teams. Given the many new initiatives including international expansion and new product category introductions, I believe the brand has the opportunity to continue that growth. However, after many years of strong comp store increases, the Free People stores are operating at an extremely high level of productivity. So, I believe that future topline growth for the Free People brand will likely come less from comp store sales increases and more from opening additional and larger stores and from expanding their other two channels of distribution. Let me now discuss second quarter results at our other two brands, first Urban Outfitters. Speaking on last year’s Q4 conference call, Trish Donnelly said one of our biggest priorities is to reestablish positive sales momentum. I’m pleased to report the brand recorded a healthy 4% retail segment comp, with the North American group outperforming its European counterpart. However, the 4% comp in Q2 only tells part of a very positive brand story. Importantly, the productivity gain was driven by a high, single-digit increase in regular price sales. Year-over-year increases in both conversion and average transaction value drove the reg price increase and demonstrate the willingness of the Urban customer to buy at full price when we provide her with compelling product and exciting experience. As in the first quarter, six of Urban’s eight major product categories delivered positive, regular price comps including the all-important women’s apparel division. One of the brand’s most important achievements for the quarter was a 400 plus basis point improvement in the year-over-year markdown rate. Fewer markdowns more than offset a decrease in IMU and resulted in significant merchandise margin improvement for the brand. Urban’s product deliveries throughout the second quarter and into the third continue to show additional IMU improvement. We believe this will positively impact merchandise margins in the second half of the year. In addition, ending inventory at the Urban brand, on a weeks-of-supply basis, was the leanest it’s been in three years, thus providing opportunity for further markdown improvement in Q3. On the same conference call, Trish also outlined initiatives around store productivity. During the first half of FY ‘16, the brand made good progress on these initiatives. The first is category distortion. The brand team looked at sales by product category and compared them to the floor space allocated to each category. Next, the team planned additional space for emerging strong categories like beauty, intimates and dresses, while right-sizing the space allocated to others. In July, the team tested a prototype store with the new floor set and a number of category shop-in-shops. Customer response has been very positive, so the Urban team is now in the process of reproducing this floor set across the store fleet. In addition to better category distortion, the brand is working to increase selling space in existing stores by shrinking the back-of-house, hold less back-stock in stores, create a supply chain that requires less time to flow new product into our distribution channels and integrate more digital capabilities into the store experience. As an example of this last initiative, the brand tested the use of in-store beacon messaging for those customers using the UrbanOn app on their smartphones. 54% of the customers receiving those messages chose to interact with them; many times higher than the open rate of standard e-mail messaging. Furthermore, customers who chose to open the messages were three times more likely to make a purchase than an average Urban brand shopper. Most of these productivity initiatives are currently in the design and testing stage. If proven successful, they will be adopted across all stores. This new way of operating is an iterative process tied to our long-term strategic vision and not a one-season project meant to drive immediate results. Overall, I am pleased with the considerable progress the Urban brand teams have made over the past 12 months in terms of improving the product, the brand position and the brand experience. Urban has reconnected with its core customer and is, once again, a fashion leader for young adults. I thank Ted, Trish, Meg and their teams for their hard work throughout this process. I hope the results are as gratifying to them as they are to me, and I am excited to see the progress the brand will make over the next 12 months. Turning your attention now to the Anthropologie brand, its second quarter performance was very close to what we expected it would be when we last spoke on our May conference call. The brand delivered its 12th consecutive quarter of positive comp sales growth, but due to some product misses, margins came in below the same quarter last year. Many categories delivered solid growth but a few, notably dresses and accessories, were poorly executed, and those product misses negatively impacted the overall brand performance. David and his team’s sharp focus on inventory management enabled them to mitigate the markdown pressure and maintain solid merchandise margins. Furthermore, the team made timely adjustments throughout the quarter adding new styles, and taking additional promotions, as necessary, to clear through slower moving merchandise. Overall, the brand finished the quarter in a healthy inventory position and generated an operating margin that, although not an Anthropologie record, would be the envy of most other apparel retailers. I believe the brand will continue to make adjustments to their assortments throughout the back half of the year, and I believe they are positioned to post healthy, but not record, margins over the next few quarters. At this time last year URBN unveiled its Vision 2020 strategy at our investor day conference. For those who attended you may recall our growth strategy was expand the number of products our brands offer, grow all of our distribution channels across all geographies and allow them to accommodate a larger product assortment, and improve operational capabilities and become more efficient. All of the URBN brands are working to execute this vision. I listed a number of examples of how the Urban brand is in the process of making improvements to its operational capabilities. In addition, Dave noted in his commentary how the Free People brand benefited greatly from launching new product categories. Over the past year, the Anthropologie brand has had many strategic successes as well. The brand recognized the opportunity to build much larger businesses in categories adjacent to apparel and so invested in talent and infrastructure to expand the offering in a number of these, most notably, Home, Beauty and Shoes. Each has performed well. In addition, the brand successfully integrated the Bhldn and Terrain concepts into the Anthropologie group and those concepts are now growing rapidly. Strong customer response to these Anthropologie product expansions as well as similar successful expansions at the Free People and Urban brands, have increased our confidence in the longer-term strategy we presented last September. Opening large format stores and redesigning existing stores to gain more selling space to house the expanded product is part of the strategy, so I am pleased to report that the Anthropologie brand has now signed leases for four large format stores. The first two, both scheduled to open in spring of 2016, will be expansions of the current stores in Portland, Oregon and Newport Beach, California. By next summer, the brand’s plan to open a new large format store in the Stanford Shopping Center, in Palo Alto, California. This is a relocation of a much smaller store in a secondary location in that same market. The new Palo Alto store will feature expanded assortments of all of the brand’s product categories, plus a large beauty offering, a Bhldn and Terrain shop-in-shop, and an Anthro café. Larger stores each offering expanded product assortments is one part of the strategy, but as we emphasized last September, our product expansion strategy is an important component in driving growth in all of our distribution channels. Indeed, product expansion has been instrumental in helping the direct-to-consumer and wholesale channels achieve vigorous growth. In his commentary on Q2 sales, Dave credited the expansion classes for approximately one-third of the gains in Free People’s wholesale sales. In addition, we estimate that expanded product accounted for more than 40% of the powerful, double-digit, direct-to-consumer sales growth in the quarter. So to summarize, we are making steady progress on implementing all three components of our strategic plan and have already seen many successes from our efforts to-date. All brands have carefully, but steadily, offered larger, non-redundant product assortments across a number of categories and, in several cases, have added entirely new categories. Without question, this has helped to drive our topline growth in the direct and wholesale channels. At the same time we are launching initiatives to make very important operational improvements, like better category distortion in stores, faster reaction to customer demand, more efficient use of store space, and better integration of technology. More product and improved operations will allow us to continue to expand our distribution and meet our Vision 2020 goals. We are in the early stages of implementation, but have already tasted its benefits. We are excited by the opportunities it provides and the growth it envisions. I will update you on annual progress. Before I turn the call over for your questions, since this will be Ted’s final URBN conference call, I wanted to thank him publicly one more time for the extraordinary impact his leadership has had on the Urban brand over the past 15 years. Ted, I wish you and Sara the very best, and I thank you for your friendship and the many contributions you have made to the company. Finally, in closing, I thank our 23,000 associates worldwide for their inspiring dedication, drive and creativity. I also recognize and thank our many partners around the world. And finally, I thank our shareholders for their continued support. That concludes my prepared remarks. I now turn the call over for your questions.
Operator: [Operator Instructions] Our first question comes from the line of Kimberly Greenberger from Morgan Stanley. Your question please.
Kimberly Greenberger: Great. Thank you. And really nice results tonight. Congratulations on that.
Richard Hayne: Thanks, Kimberly.
Kimberly Greenberger: I don’t want to read too much into your comments. My question is on Anthropologie, but if I could just summarize on Urban, it sounds like you’re saying that you feel pretty good about the direction of the business and expecting progress over the next year. So that seems fairly set. Is that a fair way to summarize it?
Richard Hayne: Yes, Kimberly. Before I answer your call -- your question, I just want to alert everybody that we’re having a little bit of technical difficulties here. So if for some reason the phone gets cut off, it’s not because we don’t like your question, it’s technical in nature. But Kimberly, I think you have characterized it well, we’re very pleased with the progress that was made. We’re not satisfied. We know there’s much more to be done, but we’re on our way. And I think things look very good.
Kimberly Greenberger: Right. So on Anthropologie, from the outside world, just having a little bit of a struggle, putting our finger on what it is in that business that has slowed, that’s maybe causing a bit of pressure on the gross margin. And obviously on an absolute basis, Anthropologie continues to perform very well relative to peers. It’s just got a tough bar given its own historical performance. So as we think about the next couple of quarters, you suggested there would be additional adjustments made in that business. But maybe just from a big picture view, kind of help us understand, dresses and accessories obviously were some product misses, but is there more going on, is there a bit of a struggle on the trend side in terms of identifying new ideas? Or do you think this is a pretty straightforward fix that can be executed in fairly rapid manner? Thanks so much.
Richard Hayne: Okay. Kimberly, I am certainly going to ask David to answer that. He is the closest to it.
David McCreight: Hi, Kimberly. Yes, as Dick had mentioned and alluded to, we are off our record highs, all-time record highs for Anthropologie and we believe that’s entirely due to a two primary factors in our core business. We clearly weren’t pleasing as well with our fashion and some of our initiatives around the speed the market will that we’re working with Meg on and broadly across URBN we believe will start to show real -- bear real fruit in the second half of next year. That being said, the balance of this year, we expect to be very similar to what we saw in Q1 and Q2 in terms of having some strength, some abroad strength in many categories, but we will continue to watch particularly in apparel the trend and the change in the seasons running through. And also, we’re going to be watching our accessories businesses as we talked about in Q2. We put a number of things in place with our team and begun to refocus our offer their and are expecting both accessories and apparel to strengthen towards the back end of Q3 and Q4, but are preparing to still have some errors in fashion.
Operator: Thank you. Our next question comes from the line of Lorraine Hutchinson from Bank of America Merrill Lynch.
Lorraine Hutchinson: Thank you. Good afternoon. I wanted to just follow up on Anthropologie. On the last quarter’s call, you had talked about a new dress assortment coming in toward the end of the second quarter. Did you see any shift in trend once those -- that assortment hit? And also, Frank, on the last call you talked about gross margin up 25 to 50 basis points for the year? Is that is still your expectation?
Richard Hayne: David?
David McCreight: Hi. Regarding dresses, yeah, as we look at our offer, we saw we had going into -- we saw we had some execution errors, and there were some voids, if we just followed our customer more closely. We adjusted those. In new categories adding more texture to the fabric also silhouettes and shape we have seen a swing dresses do quite well -- continue to do quite well and then also starting to see a little more move to body conscious. So they have been well-received and excited about what we have in store for the back half of the year in dresses.
Frank Conforti: Lorraine, this is Frank, so as it relates to the back half of year, we are focused on trying to deliver improvement for Q3 and Q4. We do believe we have that opportunity in front of us. How that plays out to where the annual gross profit margin rate falls will depend on if and how much improvement we can drive in the third and the fourth quarters.
Operator: Thank you. Our next question comes from the line of Janet Kloppenburg from JJK Research. Your question, please.
Janet Kloppenburg: Hi, everybody. Congratulations on a great quarter and I want to…
Richard Hayne: Thank you, Janet.
Janet Kloppenburg: … I want to extend my best wishes to Ted, who has been an incredible leader and visionary and we’ll miss you, Ted. I wondered if you could clarify a little bit about the August to-date trends, sounds like direct stores are slower than planned? I’m wondering if the direct you’re seeing some response or encouragement in terms of the back-to-school or fall trends that you can speak to that may unfold at the stores and maybe just elaborate on details that have to do with, perhaps, why the stores are down -- underperforming versus the direct channel -- above and beyond that channel mix that’s been going on for awhile? Thanks.
Richard Hayne: Hi, Janet. Thanks for the question. I agree with your sentiments about Ted. Yes, so far in August all the brands have shown a trend of strong comps on the direct channel, slightly weaker when we compare it to July on the store channel and the wholesale channel is ahead. Now there are a number of categories that are working and working nicely, and I don’t think it’s significantly different than the categories that we’re working in a -- toward the end of the second quarter, and so it sort of begs the question as why would the stores be down and not the direct business. And the only things we can come up with and the factors are the calendar shift where the Labor Day holiday is a week later this year and they have something to do with weather, because it’s so hot on the East and West Coast, maybe people are taking more time away and going on vacations, therefore shopping online rather than in stores. Yes, traffic continues to show slight declines from almost mid single-digit declines from where it was the prior year, but that’s note really a change from the July month. And then, of course, we always look at the potential of the product execution, that’s a possibility, but if it were that, then we would expect the direct business to be down as well. So we’re not -- certainly not panicked about it and we believe that it’s probably one of the first two factors that I mentioned, but we can’t be sure at this time, because its only been two weeks. So I think you’re going to have to wait until the 10-K is released in September and we’ll have much more clarity by then.
Operator: Thank you. Our next question comes from the line of Anna Andreeva from Oppenheimer. Your question, please.
Anna Andreeva: Great. Thanks so much for taking our question. Just a question to, Frank, just to confirm that gross margin guidance for the year of 25 to 50 basis points, are you guys still committed to that range and how should we think about the back half expectations, I think, you said gross margin maybe up in the third quarter? Just any magnitude behind that would be helpful, should we think the fourth quarter margin expansion would be more significant than Q3? Thanks so much.
Frank Conforti: So, Anna, again, this is Frank. So we do believe there is opportunity for margin improvement in Q3 and Q4, exactly where that falls out we will dictate it to where the year falls, which is not certain right now as we are heading into our second selling season. As we approach third quarter, we do believe there is opportunity for margin improvement. This will require Urban to continue to make progress in their maintained margins as they have to date with significant improvement in markdowns and show improvement in their IMU as well. This will take into account out and require Anthropologie and Free People to maintain their more normalized margins similar to where they landed in the second quarter. And this will also require our fulfillment center expenses delivering and fulfillment center expenses to continue to come in at or below our expectations as it relates to some incremental cost there, which we still will experience some in the third quarter as Free People wholesale has not transitioned yet. All three direct-to-consumer businesses have successfully transitioned but wholesale transitions in the third quarter. So we believe we have opportunity in both the third and fourth quarter, exactly how that shakes out to the 25 to 50 basis points for the year. It is yet to be seen and we’re going to pay attention to August month-to-date sales trends and all the initiatives that we continue to work on.
Operator: Thank you. Your next question comes from the line of Marni Shapiro from The Retail Tracker. Your question please.
Marni Shapiro: Hey guys congrats and Ted, you will be missed. I might still send you my e-mails. So I do have a question on Urban. I’m curious, the improvement that you’re seeing is it fairly broad based across denim and dresses, mens, women’s, if you could give a little color there and if you can talk a little bit about the home business, I think it was about a year ago you launched those first kind of dorm bed in a bag type of things and right now you have an on-campus assortment that I think looks pretty outstanding online. So just an update on that part of the business as well?
Richard Hayne: Okay Marni. I’m going to ask Trish to answer that.
Trish Donnelly: Hi Marni. How are you? As Dick mentioned, we’re seeing really nice growth and the six out of the eight divisions across Urban. So really across women’s and across home, we’re having some difficulty in the men’s business but right now six out of the eight are performing, two are greater than expectation. And in terms of home, yes we rolled out back-to-school and we’re really happy with the results we’re seeing particularly in bedding and textile.
Operator: Thank you. Our next question comes from the line of Brian Tunick from Royal Bank of Canada. Your question please.
Brian Tunick: Yes. Thanks. Good afternoon. I guess, two questions. Maybe when you look at the Urban Outfitters margin for the brands at 3% last year, when you think about benchmarking your success year, what do you think that brand margin could recover to? What’s realistic over the next two to three years and then we saw you took on some debt for this recent share repurchase activity. We’re just wondering if the Board’s attitude towards leverage or accelerated buybacks has changed recently? Thanks very much.
Richard Hayne: Okay Brian, let me answer the last part of your question, first. And then I’ll ask Trish to answer the first. The Board has not changed its attitude whatsoever. On a very consistent basis that means every Board meeting, we do talk about capitalization. And as part of that discussion, we make decisions about the general nature of how much we’re going to buy and when. And that has been fairly consistent that we discuss it but it has not been consistent as to the amount that we buy. So it’s basically a quarter-to-quarter decision which involves a number of factors and those factors can change over time.
Frank Conforti: And just to add to that Brian related to the increased ABL, what that does is that gives us some additional flexibility as it relates to the buyback opportunities when they do present themselves for us. So as Dick said there is not a change in our buyback philosophy but the increased ABL just gives us the ability to be -- to have a little more cash at our hands when the strategic opportunities present themselves.
Trish Donnelly: And then Brian, it’s Trish. In terms of margin recovery, we are looking at IMU betterment year-over-year as we travel through Q3 and Q4. Also I have managed to run the business on lower markdown rates driven primarily by heightened efficiency and inventory management.
Dave Hayne: Yeah. Brian. I might add that the inventory management at Urban has improved dramatically and one of the biggest problems the brand had over the last year and a half 18 months was poor inventory management. And we expect the inventories to continue to improve. The weeks of supply will continue to decrease slightly as we put more operational efficiencies into the mix and when that happens, we believe that we have an opportunity to decrease our markdowns even further.
Operator: Thank you. Our next question comes from the line of Oliver Chen from Cowen and Company. Your question, please.
Oliver Chen: Hi. Thank you. Dick, in our store checks, we’ve been noticing some really great integration between digital and store. As we think about that, what do you think are the major catalysts ahead and how would you speak to the banners and that progress and David, I just wanted to ask you about the refocus in accessories? Could you help us understand what you mean there and it sounds like dresses and accessories, was curious about the magnitude of the size of those businesses? Thank you.
Richard Hayne: Hey, Oliver. I’m going to ask David to take the first question -- last question first.
Dave Hayne: So regarding accessories, we believe embedded within the accessories categories are several industries that are supported in the fashion world and that we have to date, not been successful or strategically laid out a plan to capitalize on that. And we talk to our customer and we visit her homes and talk about what she has in her wardrobes and boroughs. It’s very clear how important footwear, bags, jewelry and other categories are. And today, they have been treated more as just add-ons. So, we have built a very strong team that’s very new to the brand but showing really good drive and the whole idea of a larger format and “web-as-alpha” strategy is almost building new companies within there, thinking of a footwear and bag team, or like we’ve talked about home or talked about beauty. And I’m encouraged by some of the views of some of the product that are yet to be voted on by the customer as we see coming into the stores and online toward the back half of Q3 and then moving into Q4 and more momentum into Q1 of next year.
Richard Hayne: Okay. And I’m going to ask Calvin Hollinger to take your first question.
Calvin Hollinger: Oliver, hi. This is Calvin. As far as technology and omni-channel, Dick spoke about the beacon program we have for the Urban brand. We are trying to look at more personalize shop experience using technology. And the other thing we are very excited for is in Q4, we expect to roll out borderline and pickup in the store, which then allow us to also do same-day delivery from stores. So, we are looking at integration of technology and finally, Dave Hayne mentioned, the whole replatform of the e-commerice, what it gives us is better omni-channel capabilities, again both in store and online. So there are number of omni-channel initiatives underway to be delivered in Q4.
Richard Hayne: And one other thing, Oliver, we are integrating some of the imager from the direct channel into the store experience. All right. Next question?
Operator: Our next question comes from the line of Randy Konik from Jefferies. Your question, please.
Randy Konik: Great. Thanks a lot. I just want to clarify, on the same-store sales guidance on the stores versus direct, are you saying that direct business has sequentially accelerated from the second quarter off of the stores business has decelerated sequentially from the second quarter? I just want to clarify what you’re trying to say there and on your comments, Dick around Free People, around the comp moderation, how do you think about long-term what needs to be done in terms of store expansions on the existing free people because it sounds like you’re getting a lot of strong traction with the new product extensions in the brand through your wholesale channel? So just trying to be curious about what you think the business needs to look like from a real estate footprint three to five years from now? Thanks.
Richard Hayne: Okay, Randy. First, what I said about the quarter to date sales is that the direct-to-consumer channel is running basically even with the Q2 trend, so it’s still very strong. It’s still running double-digit increases year-over-year. It’s the store channel that is weaker and not coming up to the Q2 trend or our projections. And as I mentioned, there are several factors that may be skewing the sales on a year-over-year basis but we don’t know yet. Dave, do you want to take the Free People, Real Estate?
Dave Hayne: Sure. Hey, Randy. So as our teams continued to do all the good work they’ve been doing expanding our product offer, our goal is really to get more of that in front of our customer both, in a physical and a digital environment. So going forward, our intention is to continue opening larger stores both, new stores as well as looking for opportunities within the fleet to transition existing stores into larger formats.
Frank Conforti: Yeah. Randy, you have to remember that the Free People stores when they first opened, we’re about 1,500 square feet of selling space and it was almost entirely ready-to-wear. Since then the Free People brand has been extraordinarily successful in opening other product categories but you can’t fit them into 1,500 square feet. So it’s absolutely essential that we increase the square footage of the Free People stores. Now when we do that, because of Free People stores are running at such a high rate, it’s likely that the stores may not be as productive when we put some other category types in. But that’s okay, the sales will still increase, the margins will increase and probably the overall dollar profitability will increase, the rates may decrease. That’s what we are trying to say.
Operator: Thank you. Our next question comes from the line of Dana Telsey from Telsey Advisory Group. Your question please.
Dana Telsey: Good afternoon, everyone. As you think about…
Dave Hayne: Hi, Dana.
Dana Telsey: Hi. As you think about the level of gross margin and the drivers of each division, how do you think about the rest of the year? Is there any change -- I mean, obviously it sounds like Urban was lower markdown rates, should we see that continuing throughout the year? I know you’re not quantifying in total the gross margin potential. Is there anything that would make it change from the direction that you’re in now? And then just lastly, on the SG&A dollar growth, anything different in terms of what to expect there in terms of what you’re spending on like this order online pick up in stores? Thank you.
Frank Conforti: Hi, Dana. This is Frank. So, I’ll take the last first. SG&A, nothing different. All of the initiatives that Calvin spoke about and Dick spoke about in his commentary are built into our plans. So, we’re still planning the year at a high-single digit rate and we believe if the same trends continue there at the third quarter but we’ll come in fairly consistent with where we landed for the second quarter. The drivers for the gross profit margin opportunity in the third and fourth quarter are as we discussed the usual suspects. So the Urban brand will need to continue to deliver their maintained margin improvement. They’ve driven significant improvement, as Dick, mentioned in his prepared remarks, over 400 basis points improvement in markdown on a year-over-year basis and they will need to continue that, as well as show IMU improvement in the back half of the year, both the Anthropologie and the Free People brand will need to basically maintain their more normalized rates that where they landed in the second quarter. And then net-net, we’d be looking at a benefit to overall URBN. And the last piece there is obviously, the DTC transition that needs to come in and about that 25 basis points of deleverage that we’re planning for in the third quarter. Although, summarized up, we do believe that we can. We have the opportunity to show margin improvement in the third quarter and then hopefully continuing going forward.
Operator: Thank you. Our next question comes from the line of Lindsay Drucker Mann from Goldman Sachs. Your question, please.
Lindsay Drucker Mann: Hi. Thanks. Dick, in your prepared remarks you talked a little bit about your strategic focus on getting your supply chain faster. I was just hoping you could give a little more detail around any specific initiatives and how much faster you think you can get? And then Frank, just to clarify again on the gross margin guidance, you said that you believe you have opportunity to increase gross margins in the third and fourth quarter? Do you think you can increase them for the full year? Thanks.
Richard Hayne: Okay. Lindsay, let me talk about speed to market that’s a subject about which I’m very passionate, everybody around the table is smiling. Yes, I think we have an opportunity to bring product to market much faster than we do today. How we are going to do that? We are going to do that with number of factors. One is read the trends quicker and react quicker to those trends, cut down the number of steps involved in going from design and the merchants to the production, and make all of the decisions along the way faster, that meaning adhere to a calendar that is set up. And you would be surprised that the number of times that a decision has to be made and the person whose supposed to make the decision is either out of the -- out of our offices, out of the country and maybe traveling for a few days, and that decision is one day can be a week off in production, so it’s that. And then finally, we are trying to accelerate the production by near sourcing, more production capabilities in the Americas and so when we combine all those things together, I’m convinced that we can take anywhere from six to eight weeks off of our normal turnaround time.
Frank Conforti: Lindsay, this is Frank. So yes, the opportunity exists on an annual basis but again, that is going to depend on the magnitude of what the third and the fourth quarter brings. Right now we have shown two consecutive quarters of improvement from where we were trending. We are focused on showing full year-over-year improvement in the third quarter and depending on exactly how the third quarter plays out, we’ll provide for some more clarity as to where we believe we will end the year.
Operator: Thank you. Our final question comes from the line of Simeon Siegel from Nomura. Your question please.
Simeon Siegel: Thanks. Frank, I guess, let’s ask you about the full year gross margin guide.
Frank Conforti: Thanks, Simeon.
Simeon Siegel: Can you just talk about the ultimate store objectives? Just want to understand the sales algorithm at this point. So I’m assuming FX rates and comp and what do you expect the total sales-to-comp ratio to look like? Thanks.
Richard Hayne: Simeon, could you repeat that question? I apologize.
Simeon Siegel: Sure. So trying to think through where you see your ultimate store objectives and then just thinking through what the spread between total sales and comps should look like? We can stick with the ultimate store objectives if you want.
Richard Hayne: Simeon, I think we’re not quite getting what you mean. The ultimate store objectives, well that question is to make money.
Simeon Siegel: Sorry. There is number of stores. So just when you think about the ultimate store …
Richard Hayne: The number of store, yeah. Well, we said consistently Simeon, that the larger, the two larger brands currently, we think and have anywhere from 200 to 250 stores in North America, both of them are currently pushing 200, which would suggest that there are anywhere from none to 50 left. And we believe that there are certainly that many stores available to open around the world meaning Europe and Asia. We’re in the very, very early stages of that development, but we do believe that we have the opportunity to do that. Now having said that, our way of thinking about expansion is in terms of expanded product categories, meaning larger footprints in stores, so the square footage of stores will grow, but the number of units may not, so we expect to either close and reopen, meaning relocate or when a lease is up, replace it with another lease that would be larger and allow us to present these expanded categories. That way we can continue our growth in the retail store segment. The beauty of that strategy is that of course is that product expansion that is driving the direct-to-consumer and in the Free People case wholesale channels of distribution, so we win in each channel.
Frank Conforti: Simeon, this is Frank. If I think I understand second part of your question, you’re talking about basically, the spread between the different sales metrics comp in total. For the near-term third and fourth quarter, I would think about that probably shaking out consistent to where the second quarter was, obviously, with a lot of variables in there. Over the longer term, I think that story is a little yet to be told. Depending on the success of the larger format stores that spread could change, as the Anthropologie, for example, has four larger format stores on their horizon. If those perform well and we continue along with that strategy, which we’re all certainly very confident of here, that could change the spread, because although some of those stores will be replacing an existing store, it will still be on net-net like adding two plus stores. So that could change your gap between the total on the comp ratio. But I think we want to wait to see exactly how those stores perform and trend before I guess change the longer-term algorithm if that helps you.
Richard Hayne: Okay. Everyone thank you very much for joining the conference call. We hope to see you in three months.
Operator: Thank you, ladies and gentlemen, for your participation in today’s conference. This does conclude the program. You may now disconnect. Good day.